Operator: Good day ladies and gentlemen. Thank you for standing by. Welcome to the Super Micro Computer Incorporated first quarter fiscal 2011 conference call. The company’s new release issued earlier today is available from its website at www.supermicro.com. In addition, during today’s call the company will refer to a slide presentation that it has made available to participants which can be accessed in a downloadable PDF format on its website at www.microsystems.com in the investor relations section under the events and presentations tab. During the company’s presentation, all participants will be in a listen only mode. Afterwards, security analysts and institutional portfolio managers will be invited to participate in a question and answer session, but the entire call is open to all participants on a listen only basis. As a reminder, this call is being recorded Tuesday, October 26, 2010. A replay of the call will be accessible until midnight, November 9 by dialing 1-877-870-5176 and entering conference ID number 1980946. International callers should dial 1-858-384-5517. With us today are Charles Liang, Chairman and Chief Executive Officer, Howard Hidashima, Chief Financial Officer and Perry Hayes, Senior Vice President, Investor Relations. And now I would like to turn the conference over to Mr. Hayes. Mr. Hayes, please go ahead sir.
Perry Hayes: Good afternoon and thank you for attending Super Micro’s conference call and financial results for the first quarter fiscal year 2011 which ended September 30, 2010. Before we begin, I’d like to advise you of upcoming investor conferences in which Super Micro will be participating. On November 11, we will attend the Southwest Ideas Conference in Dallas, and on November 16, we’ll attend the Merriman Investors Summit 2010 in New York, where we will present and participate in one-on-one meetings. By now you should have received a copy of today’s news release that was distributed at the close of regular trading and is available on the company’s web site. As a reminder, during today’s call, the company will refer to a presentation that is available to participants in the investor relations section of the company’s website under the events and presentations tab. Please turn to slide two. Before we start, I’ll remind you that our remarks include forward-looking statements. There are a number of risk factors that could cause Super Micro’s future results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon, our Form 10-K for fiscal 2010, and our other SEC filings. All of those documents are available from the investor relations page of Super Micro’s website at www.supermicro.com. We assume no obligation to update any forward-looking statements. Most of today’s presentation will refer to non-GAAP financial results and outlooks. For an explanation of our non-GAAP financial measures, please refer to slide three of this presentation, or to our press release published earlier today. In addition, a reconciliation of GAAP to non-GAAP results is contained in today’s press release and in the supplemental information attached to today’s presentation. I’ll now turn the call over to Charles Liang, Chairman and Chief Executive Officer.
Charles Liang: Thank you Perry and good afternoon everyone. Please turn to slide four. First let me provide you with the highlights of our fourth quarter. We are pleased with our first quarter revenue was $270 million or 2.7 percent higher quarter over quarter and 39.5 percent higher year over year. This result is another record high for Super Micro. Net income was $9.3 million or 2.1 percent higher quarter over quarter and 59 percent higher compared to last year. Super Micro non-GAAP earnings per share was $0.22 per diluted share compared to $0.51 last quarter or $0.15 last year. Slide five please. Now I would like to share with you some key points regarding our operating performance in the first quarter. The first quarter of fiscal year 2011 represents our sixth straight quarter of increasing revenues and our fifth straight quarter of record high revenues. We continue to grow because of our strong products that have been optimized to (inaudible) CPU and other technologies. There were launches during the last year and our products are the industry leading performance based on performance per watt and performance per dollars, performance per square foot, and the lowest total cost of ownership. The Super Micro value proposition continues to win customers. We are pleased with this quarter’s performance in spite of summer seasonality effects on the industry. We finished September with good momentum in the last weeks which indicates that we should see a seasonally strong end to the calendar year. From a geography perspective our revenue in the U.S. was consistent, but our revenue both in Europe and in Asia grew strongly during the quarter. Demand for Super Micro products continues to grow in this region, particularly in Asia where we continue to engage new customers with (inaudible) partition in data centers, power computing and other vertical enterprise. This strong Asia demand included China, Japan, India and others, and we are focused on winning more key relationships there. Another key highlight of our global success was we increased the position of our European and Asia system operations. Data (inaudible) contributed to our better profit margin in the quarter as we have increased a number of models and production capacity. Although the overall (inaudible) are still low due to the fact that they are (in infancy). We are pleased with the progress we are making. On the systems side, we shipped more systems this quarter which contributed to 36 percent of our total revenue. We had strong system product (nine) particularly in system based on our twin architecture. We had a very strong quarter in shipment of our twin family of system which included twin (dock man) and our twin (ray) offerings. Many of the systems shipped were higher performance configurations that leads to higher average selling price, which help us to achieve stronger margins for the quarter. In fact, our operating performance for the quarter improved over recent quarters and we think we are headed in the right direction to improve profitability. As we have stated in the past, Super Micro is a faster growing company. Our strategy to grow our business by continuing to take time to market advantage of share in the IP infrastructure market. Through our technology innovation, we have also established our position in other markets such as embedded, industrial PC work station, switching and storage. We will achieve that growth by continuing to be first to market with the boldest array of competing products that leverage the (inaudible) technology. We will also continue to invest in our (inaudible) pursuit of opportunity in new markets by optimizing our product management for them. In order to pursue growth, we are investing in the following three areas. First, we continue to grow in R&D and maintain our strong technological leadership and innovation. Second, we invest in our people, particularly in sales, FAE, and (inaudible) to target (inaudible) markets and to promote Super Micro in specific geographies. Third, we continue to view the capacity for system innovation, technical service and logistical support in all regions and in particular, Asia. As a growing company, with our track record, we see enormous market opportunity that can be better served by our products. Slide six and seven please. (Inaudible) developments, R&D technologies include first, our newly optimized twin server architecture across 1U and 2U platforms, continue our leadership and momentum for new generation products such as 2U twin cubed. Our award winning TwinBlade is now in high volume production featuring 20/28 DP nodes in the 7U frame enclosure with 40G Infiniband or our new 10G Ethernet connectivity as options. Additionally, our (inaudible) GPU Blade is coming soon. Our GPU optimizer product nine in 1U, 2U and 4U platforms, provide extreme performance in calculation intensive applications. We will further optimize the computing density by offering full GPU in 1U solutions soon. Atom server nine features low power, no noise and small form factor, optimized for embedded server application. Also our 8way systems will be a target at the high end of price which (inaudible) applications which means huge memory capacity and tremendous computing power. Our double sided storage (inaudible) hard drive density with (inaudible) from the front and backside. Our caballing and (AFR) optimize super rack is ideal for high density and complicated cabling (inaudible). Also, 10U switch for standalone (inaudible) are in production now and FCoE fiber channel main switch solution is coming soon. We look forward to promoting these product lines in the coming quarter and beyond. For more specifics on the fourth quarter, let me turn it over to Howard.
Howard Hidashima: Thank you Charles, and good afternoon everyone. I’ll focus my remarks on earnings, gross margin, operating expenses and similar items on a non-GAAP basis, which reflects adjustments to exclude stock compensation and provisions for litigation expense. Reconciliation of GAAP to non-GAAP is included in the financial statements of the company in today’s earnings release and in the supplemental detail in the slide presentation accompanying this conference call. Let me begin with a review of the first quarter’s income statement. Please turn to slide eight. Revenue was $207.2 million, up 39.5 percent from the same quarter a year ago and up 2.7 percent sequentially. The increase in revenues from last year was fairly wide spread among our customer base, which we believe was primarily due to a continuing improvement in the global economy and the server refresh cycle. The sequential increase in revenue during a seasonally weak quarter for the industry was primarily due to the continued emphasis being put on obtaining effective and efficient solutions such as our 2U Twin and Twin Square servers and storage solutions as the server refresh cycle continues. Slide nine. Turning to product mix, a portion of our revenues from server systems was 35.7 percent which was an increase from 34.5 percent a year ago, and 32.2 percent last quarter. ASP’s for servers was about $1,500 per unit which is up from $1,400 per unit last year and last quarter. The increase in absolute dollars of server products from a year ago was primarily due to the increase in shipments of Twin and GPU servers. The increase in absolute dollars of server products sequentially was primarily due to the increase in shipments of Twin and Twin Squared servers and storage servers. We shipped approximately 50,000 servers and 950,000 sub-systems and accessories in the first quarter. We continue to maintain our diverse revenue base with none of our over 400 customers making up more than 10 percent of our net sales in the first quarter. Furthermore, 58.7 percent of our revenues came from the U.S. and 60.2 percent from our distributors and retailers. Internet data center revenue was 7.6 percent which was an increase from the prior quarter of 6.9 percent. Asia and Europe revenues grew faster than the U.S. as we continue to expand our operations overseas, we expect to grow our percentage of overseas revenues due to the better service we can provide locally to our customers as well as by reducing the logistical expenses to us and to our customers such a freight charges. Slide ten and 11. Non-GAAP gross profit was $33.2 million, up 34.8 percent from $24.7 million in the same quarter last year and up 6.9 percent from $31.1 million sequentially. On a percentage basis, gross margin was 16 percent, down from 16.6 percent a year ago and up from 15.4 percent sequentially. Price changes from (Able Comm) resulted in a positive .01 basis point change to the gross profit in the quarter with total purchases representing approximately 20.9 percent of total cost of goods sold compared to 22 percent a year ago and 14.7 percent sequentially. The year over year decrease in gross margins resulted from the increasing costs associated with our overseas expansion and an increase in shipping costs associated with higher peak season rates. The sequential increase in gross margin primarily results from a higher percentage of sales complete server solution I’ve noted earlier, offset in part by higher shipping costs during the period. As we bring up our overseas facilities we should see reductions in our expenses and the time to deliver products to our customers. Slide twelve. Operating expenses were $18.7 million, up from $15.6 million in the same quarter a year ago and from $18 million sequentially. As a percentage of revenue, operating expenses was nine percent, down from 10.5 percent year over year and up from 8.9 percent sequentially. Operating expenses was higher on an absolute dollar basis year over year primarily due to additional headcount, primarily in R&D and production as the company continues its investment into its product portfolio as well as its expansion overseas. Sequentially we saw an increase primarily in sales and marketing expense due to an increase in marketing development funds to promote new products and from head count addition to prepare the company for additional growth. Head count increased by 44 sequentially to 1,080 total employees. Operating profit was $14.6 million or seven percent of revenue, up from $9.1 million or 6.1 percent a year ago, and up from $13.1 million or 6.5 percent sequentially. The improvement in our operating margins from last quarter and last year has begun while growing our revenue base, expanding our product line and increasing our geographical capabilities. We do expect to continue to make these investments and continue our progress towards the long term success of the company. Net income was $9.3 million or 4.5 percent of revenues, up from $5.9 million or 3.9 percent of our revenues a year ago and up from $9.1 million or 4.5 percent of revenues sequentially. Our non-GAAP fully diluted EPS was $0.022 per share up $0.07 from $0.15 per share a year ago and up from $0.21 per share sequentially. The number of fully diluted shares used in the first quarter was 42,716,000. The increase in diluted shares from last year was primarily due to the impact of options which were previously under water. The tax rate in the first quarter on a non-GAAP basis was 35.8 percent compared to 35.1 percent a year ago and 30.2 percent sequentially. The R&D credit expired on January 1, 2010. Should the credit be reinstated retroactively, then the company would adjust in the quarter the credit is reinstated. We do expect the tax rate on a non-GAAP basis to be approximately 35 percent for the December quarter. Turning to the balance sheet, on a sequential basis, slide 13. Cash and cash equivalents and short and long term investments were $89.4 million which is up from $79.4 million in the prior quarter. In the first quarter free cash flow as a positive $9.7 million and a net change in cash was a positive $10.9 million. The cash balance reflects the land purchase of approximately $6.1 million during the quarter. Excluding this land purchase, the company’s cash and cash equivalents and long term investments would have been $95.5 million. Slide 14. Accounts receivable decreased by $1.2 million to $71.8 million and DSO’s was 32 days, an increase of one day from the prior quarter. Inventories increased by $15.9 million to $151.5 million with days in inventory increasing by one day to 76 days. The increase in inventory was due in part to preparing for a seasonally strong December quarter as well as to support the growth of our overseas operation. Accounts payable increased by $17.7 million to $113.1 million with the days payable outstanding increasing by one day to 55 days, primarily due to the increasing inventory. Overall, cash conversion cycles were 53 days, an increase of one day or 52 days in the prior quarter. Now for a few comments on our outlook. As indicated previously, during the first quarter we saw continued growth in our business, especially in Asia and Europe, and the ramping of sales from our technology introduction such as Twin, Storage and GPU. We expect to see continued ramping of these products as well as the ramping of our facility in the Netherlands and Taiwan. Both these factories should continue to improve our profitability. In addition, December is seasonally a strong quarter for the industry. Therefore, the company currently expects net sales for the quarter ending December 31, 2010 in a range of $220 million to $230 million. Assuming this revenue range, the company expects non-GAAP earnings per diluted share of approximately $0.23 to $0.27 for the quarter. It is currently expected that the outlook will not be updated until the release of the company’s next quarterly earnings announcement notwithstanding subsequent developments. However, the company may update the outlook or any portion thereof, at any time. With that, let me turn it back to Charles for some closing remarks.
Charles Liang: Thank you Howard. We believe that the second quarter is shaping up to be a strong quarter of growth. We are well positioned with our innovative products (inaudible) to pursue this growing market community. We are also well positioned with our regional system integration operation to boost our presence in different geographies. We will stay focused on our strategy of growth balanced with investment and profitability. Operator, at this time we are ready for questions.
Operator: (Operator Instructions) And we’ll go first to Noah Huth with ThinkEquity.
Noah Huth: Hi. Thank you for taking my question. I’m speaking on behalf of Rajesh Ghai today. My question relates to gross margin. Last quarter you had margins of about 15.5 percent and you stated in there that there was some component shortages which led to system sales coming in below your expectation and you said that had a negative effect of about 100 basis points on your gross margin. Now system sales have returned to much higher levels and we’ve only seen about a 50 basis point increase in gross margin. Is there anything else that’s been affecting that because I noticed in Q2 of 2009 with a similar product breakout, you reached 16.7 percent in gross margins.
Charles Liang: Thank you for the question. Last quarter, September quarter we continue to have some component shortage, although the shortage overall has been improved. On memory side, memory team, (inaudible) so indeed we saw a drop in price for memory and that’s why (inaudible) have been growing last quarter, but still we grow only 50 points. But looking forward, in the coming quarters, situation should be better.
Noah Huth: Okay. I guess what I what I’m saying is that we’ve seen a significant increase here in your system sales, but there hasn’t been that sort of corresponding increase in gross margin.
Charles Liang: In September quarter we experienced memory team price drop and we have some inventory. That’s why we saw (inaudible).
Noah Huth: Okay. And then also relating to system sales, how much of the demand in the September quarter, how much of that was sort of overflow from the previous quarter and how much of that was new demand.
Howard Hidashima: A portion of that was some overflow from previous as Charles mentioned. We did have some component shortages. That did help a little bit, but again, as you mentioned, it has improved for us this quarter with regards to shortages, short components. So again, it wasn’t a huge dollar amount. Let’s put it that way.
Operator: And the next question comes from Alex Kurtz from Merriman Capital.
Alex Kurtz: Hi this is Diane for Alex today. Just going back to the component available, do you see any changes that were noticeable on availability this quarter and also was it consistent throughout the quarter or just right at the end. Any color you can give us around that would be great.
Charles Liang: Overall component shortage have been improving especially memory. Now a little bit of oversupply, so as you may know, main memory price dropped a lot. I’d rather say more than 20 percent in last two months. So other than (inaudible) components we still experience some shortage although that situation has been improving. And (inaudible) situation will be much better condition after December or January I believe.
Alex Kurtz: And just moving on quickly to your more geographic outlook, you obviously had broad based strength in both Asia and Europe. Were there any verticals that were extremely strong or did you see any that outperformed others generally either EMIA, Asia or the U.S.?
Charles Liang: Yes. I mean we see our 2U Twin Square especially with GPU (inaudible) have been growing very well and that’s particularly for in the (OREO and gas) and kind of some scientific calculation, some simulation and storage. Storage is another area we saw very good growth in last quarter.
Alex Kurtz: All right. Thank you so much. I appreciate it.
Charles Liang: Thank you.
Operator: And we’ll take the next question from Glenn Hanus from Needham.
Glenn Hanus: Good afternoon guys. Nice report. Let’s just go back to the gross margin for a minute. So as we look sequentially here and even beyond year end and into the March quarter, could you give us a sense of just which factors kind of come into play most and if you can give us any kind of sense of how much gross margin improvement we should look for.
Charles Liang: Our product for CPU in Europe and Asia will be continuing improving and we are growing capacity on both side, so that will continue to improve for next quarters I believe and as to the impact ...
Howard Hidashima: Yes, Glenn, we had some investments in our overseas operation. If you take a look last year, probably a lot of the decrease in our gross margin comparatively speaking to last year you could point toward investments that we’re making in the BD and Asia facilities. I think you’ll see probably about a .4 to .5 percent change.
Glenn Hanus: Okay. So this quarter you know, gross margins you’ll get some. Maybe you could rank the different factors that should improve your gross margins this quarter, this European and Asia factor, is that most significant and then there’s the server mix and parts issues. Can you kind of go through the factors that should improve margins this quarter and sort of maybe rank them and what’s most impactful?
Howard Hidashima: I think you’ll see, as Charles mentioned some componentry shortages, the shortages with regard to componentry, things improving. That’s obviously high on the list. Utilizing our production capabilities overseas that I mentioned has two benefits for us. Not only do we get to generate revenues from the investments we’ve already made there, but also as I mentioned, our shipping expenses were fairly high this quarter due to the peak season rates. So we do see that hopefully improving for us this quarter and going beyond. I think if I was going to rank, those would be the three I would rank on the plus side.
Glenn Hanus: Okay. And if there’s some offsetting factors that come into play this quarter, on the minus side.
Howard Hidashima: Yes, I think if you take a look you can flip around some of the overseas expansion that we’re doing, if the revenue or capacity isn’t taken up as we expect that could be you know, potentially neutral as compared to this quarter or potentially less of a gain. Let’s put it that way.
Charles Liang: At this moment, it’s looking quite positive for both Europe and Asia.
Glenn Hanus: Okay. Thanks. I’ll stick to the one question.
Operator: We’ll take a follow up from Noah Huth.
Noah Huth: I just had one quick follow up on clarifying a few things. You mentioned the factors affecting your margins were shipping costs and memory prices. Are these component and shipping charges not passed directly to customers as they change when they go up and down?
Howard Hidashima: Yes, freight in is not – again, there are some things that we can pass on a portion of it. We found that in the September quarter there was a peak season and some additional charges seasonally was higher than normal, so we are able to pass it all 100 percent.
Noah Huth: Okay. Thank you.
Operator: It appears at this time we have no further questions. I’d like to turn the call back over to Mr. Liang for any additional or closing comments.
Charles Liang: Thank you for joining us today and we do look forward to talking to you again at the end of this quarter. Thank you everyone. Have a great day. 